Operator: Good day, and welcome to the Nova Limited Second Quarter 2024 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would like now to turn the conference over to Miri Segal, CEO of MS-IR. Please go ahead.
Miri Segal: Thank you, operator, and good day to everybody. I would like to welcome all of you to Nova's second quarter 2024 financial results conference call. With us on the line today are Gaby Waisman, President and CEO; and Guy Kizner, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements, and the safe harbor statement outlined in today's earnings release also pertains to this call. If you have not received a copy of the release, please view it in the Investor Relations section of the company's website. Gaby will begin the call with the business update, followed by Guy with an overview of the financials. We will then open the call for the question-and-answer session. I'll now turn the call over to Gaby Waisman, Nova's President and CEO. Gaby, please go ahead.
Gabriel Waisman: Thank you, Miri, and thank you all for joining us today. I will start the call by summarizing our second quarter performance highlights. Following my commentary, Guy Kizner, Nova's Chief Financial Officer, will review the quarterly financial results in detail. Nova delivered an exceptionally strong quarter, exceeding the high end of the guidance in revenue and profit with record results across the board. Our performance was propelled by our exposure across geographies, customers and technology nodes and manifested throughout Nova's dimensional materials and chemical metrology portfolio. Our revenue grew 11% sequentially and 28% year-over-year, and profitability set another unprecedented record. Furthermore, our overall cash reserves reached record levels at approximately $760 million. The strong momentum and the outstanding performance results from our consistent execution. These results also attests to our ability to leverage market opportunities while relying on our flexible operational model to maximize the benefits. Looking at the broader picture, the first half of 2024 revenue came just under $300 million, 17% higher than the same period last year, a significantly higher rate than current forecast for wafer fab equipment. Given our third quarter guidance, we remain confident in our ability to outperform the market. Going forward, we see a steady increase in demand for leading-edge nodes including gate-all-around and advanced packaging-related processes led by customers in Taiwan, Korea and the U.S. The upside to our performance this quarter is threefold. First, the Nova PRISM 2 platform's strong performance resulted from a faster-than-expected adoption rate in advanced packaging and gate-all-around processes. Second, our Chemical Metrology division delivered record results, driven by increasing demand for our solutions in high bandwidth memory, packaging and front-end-of-line logic processes. Finally, our Service business grew 19% year-over-year by leveraging the increasing utilization rates to secure contract based and value-added services sales, rounding up the contribution for this stellar quarter. While these revenue streams stand out, our performance relies on the broad diversity of our portfolio and market presence, with multiple new customers in all product divisions. A company's inherent ability to succeed in our industry's dynamic nature stems from having a myriad of revenue streams that complement and compensate through ebb and flow. Nova has built this solid foundation through deep partnerships with our customers, flexible operations and unwavering dedication of our teams. It makes us confident that we can leverage every opportunity and address any challenge to thrive on our journey and realize our long-term strategic plan. Artificial intelligence is reshaping our digital world and expediting the implementation of scaling agents in integrated circuits to boost performance and power efficiency which are at the core of enabling large language models through training and infra stages. Scaling is manifested in more complex designs through three avenues, dimensions, materials and advanced packaging. It is also manifested in the size of manufactured dies and in the number of dies required in solutions such as high bandwidth memory. These developments profoundly impact our industry in the number of the wafers needed to supply demand and in the yield ratio, you must obtain to secure profitability with a lower number of dies per wafer. Couple that with the growing complexity of architecture and materials and you have the growth drivers of process control in the coming years. We can already see these trends echoed in Nova's portfolio and performance. There are multiple indications that our differentiated portfolio is well structured to meet our customer needs and address their challenges. The surge in demand for advanced nodes and the entry of gate-all-around based architecture drives sales of our most advanced critical dimensions and materials solutions. I mentioned PRISM 2 earlier is a great example of the rapid adoption of our solutions by the manufacturers already engaged in gate-all-around production. This quarter, we recognized revenue for multiple PRISM 2 tools. Demand is also consistently high for our advanced integrated metrology and XPS material metrology platforms. We are engaged with all customers developing gate-all-around production lines, and we estimate the transition will add 20% to 30% to the number of metrology steps. By the end of 2026, we see an opportunity of $500 million in gate-all-around, including adoption of our new technologies. The demand for metrology is not limited to gate-all-around processes, and we also see equipment deliveries driven by the demand for process control in FinFET advanced nodes. Nova had a record booking of VeraFlex XPS platforms this quarter, of which over 40% resulted from capacity growth in such nodes. Advanced packaging is a revenue accelerant with significant revenue and booking in chemical and dimensional metrology. Approximately half of PRISM 2 record bookings stem from advanced packaging processes, such as Through-Silicon Via, where PRISM has a unique advantage in filtering information from specific underlayers. The platform is also under evaluation in one of the world's leading foundries alongside our integrated and chemical metrology platform. There is a clear use case of front-end tools at the back end of advanced nodes, and we were early to respond by creating a dedicated portfolio to address this need. I want to summarize my prepared notes by saying that looking into the second half of 2024, we see a robust and diversified booking and a potential upside across all three divisions. We see encouraging indicators -- so the industry is moving into a growth cycle with strength coming primarily from logic across nodes. We remain vigilant for changes in the market conditions, and confident in our ability to deliver on our promise to outperform the market. Now for more details on the financials, let me hand over the call to Guy.
Guy Kizner: Thanks, Gaby. Good day, everyone, and thank you for joining our 2024 second quarter conference call. I'm excited to address you today as newly appointed Chief Financial Officer of Nova. It has been a privilege to be part of this incredible organization, and I look forward to continuing to contribute to our success in this role. Now let's review the financial and business highlights for the quarter. Total revenues in the second quarter of 2024 reached a record level of $156.9 million, exceeding the company guidance for the second quarter, reflecting growth of 11% quarter-over-quarter and 28% year-over-year. This strong performance was driven by high demand for our product and faster-than-anticipated acceptance processes by our customers. Product revenue distribution was approximately 75% from logic and foundry and approximately 25% from memory. Product revenue includes four customers and four territories that contributed each 10% or more to product revenues, reflecting the company's diversified position across regions and customers. Blended gross margin in the second quarter were 59% on a GAAP basis and 61% on a non-GAAP basis, topping the company target model of 57% to 59%. The high gross margin in the quarter was attributed to favorable product mix, coupled with higher revenue volume growth. We expect growth -- we expect gross margin to gradually normalize in the coming quarter, aligning with the high end of the company target model on an annual basis. As expected, operating expense increased in the second quarter and came in at $47 million on a GAAP basis and $42.3 million on a non-GAAP basis. Operating margins in the second quarter were 29% on a GAAP basis and 34% on a non-GAAP basis, exceeding the high end of the company target model of 27% to 31%. This excellent result was driven by a healthy quarter gross margins and the company's robust operational model. Financial income in the quarter remained elevated following higher yields on cash reserves and came in at $8.4 million. The effective tax rate in the second quarter was approximately 16%. Earnings per share in the second quarter on a GAAP basis were $1.41 per diluted share, and earnings per share on a non-GAAP basis were $1.61 per diluted share, exceeding the high end of our second quarter guidance, reflecting a record for the third consecutive quarter. Finally, I would like to share the details of our guidance for the third quarter of 2024. Currently, we expect revenue for the quarter to be between $168 million and $176 million. GAAP earnings per diluted share to range from $1.39 to $1.52. Non-GAAP earnings per diluted share to range from $1.60 to $1.73. At the midpoint of our third quarter 2024 estimates, we anticipate the following: gross margin of approximately 56% on GAAP basis and approximately 58% on a non-GAAP basis. Operating expense on a GAAP basis to increase to approximately $50 million and on a non-GAAP basis to increase to approximately $45 million. Financial income to remain similar to the second quarter and effective tax rate is expected to be approximately 14%. Before I conclude my remarks, I would like to note the following: during the first half of 2024, the company generated a record free cash flow of $115 million or 38% of revenue that grew company cash reserve to approximately $759 million at the end of the second quarter of 2024. This healthy cash level provides the required flexibility to pursue organic and nonorganic business development activities towards executing the company's $1 billion strategic plan. With that, we will be pleased to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Blayne Curtis of Jefferies.
Blayne Curtis: Thank you for taking my questions and great results. Maybe you could just walk through, a few people have seen some lumpiness in memory. It was down a bit. Can you maybe just talk through that? And then in your outlook, the commentary on bookings sound pretty balanced. So I'm just kind of curious the outlook for the memory segment to recover in the second half?
Gabriel Waisman: Yes. So thank you for the comment and question, Blayne. So this quarter, logic was up. We see a significant ramp in that request, and that's reducing, of course, the overall share of memory. Last quarter, we also had some two large DRAM orders that shifted it out a bit. But in H2, we expect at least in the third quarter, and overall, we expect memory to maintain a level of approximately 25% and that's mostly because of the fact that we see high demand coming from logic and advanced packaging, which is obviously increasing the ratio of that pot.
Blayne Curtis: Thanks so much. And then I wanted to ask on the gross margin. You've been above the range for a couple of quarters. It drops back in. Can you just remind me the drivers in terms of the mix? And is this more about new products? Or is it end market mix? Like what's the driver for the margin to go back into the range?
Guy Kizner: Yes. So regarding the gross margin, there are a couple of factors to that. Given the fact that we have a diversified product portfolio with different gross margin profiles such as software and new products, and the fact that our product ASP ratio to quarterly revenue is relatively high. We have a high sensitivity for product mix within the quarter. And the environment such as we saw in this quarter, higher revenues and faster acceptances from customers than anticipated, we have in such fluctuation. And for the third quarter, as revenue increasing, we are less sensitive for specific deals. And we believe at this point that our gross margin will be 58% plus minus 1% in the third quarter. And as we mentioned on the annual basis to be within the high end of our target model of 59%.
Blayne Curtis: Thanks so much.
Operator: The next question comes from Vivek Arya from Bank of America. Please go ahead.
Unidentified Analyst: Hi, thank you for taking our question. This is Doug San [ph] on behalf of Vivek. Congrats on the nice results and guide. My question is, do you think this level of strong guide in Q3 is sustainable? And I'm curious if you saw any type of pull in from any customers from any geographies in both quarters? Thank you.
Gabriel Waisman: So obviously -- thank you for the question, Doug San. We don't provide the outlook for the fourth quarter yet, but we do expect it to be as strong as the third quarter. In terms of geographies, as we indicated, we saw strong business coming from Korea, Taiwan and U.S.
Unidentified Analyst: Got it. And then -- just based on your current manufacturing footprint, is it sustainable and enough to get to your $1 billion model? Or do you have to constantly feed into the CapEx?
Guy Kizner: Yes. So we -- as part of the strategic plan that we introduced in 2022, we have invested in the facilities in order to support this -- our $1 billion plan. So we invested in our facilities -- production facilities in Israel, in Germany, and in U.S. And by the end of this year, practically, we will have enough capacity to support the $1 billion plan.
Unidentified Analyst: Got it. If I may just have one more. Recently, there was a large U.S.-based I guess, IDM/Foundry that cut CapEx significantly. I assume most of that is tied to leading-edge and packaging sort of your bread and butter. So I'm curious if that impacted your outlook in any way? And do you see this as more idiosyncratic or is it a sign of kind of pressure across the industry? Thank you so much.
Gabriel Waisman: So we expect the focus to accordingly to the statements to continue to be on the five nodes and four year plan that they have. They also spoke about accelerating production of AI-related chips. And in both cases, this works in favor of Nova. All in all, I think that this is not reflecting a cross industry phenomenon.
Unidentified Analyst: Got it. Thank you.
Operator: Our next question comes from Charles Shi of Needham & Company. Please go ahead.
Charles Shi: Hi, Good afternoon, Gabby and Guy. I want to ask a question about China. Last year, China was 36% of the total revenue. What's the outlook for 2024? Do you think that China is going to maintain or -- at a similar level or actually a little bit higher this year, given the China WFE seems to be running a little bit stronger than many of us thought?
Gabriel Waisman: Yes. So we still see a robust demand throughout this year and some projects already scheduled for next one. And this year is expected to be a bit higher than last year in terms of the overall share.
Charles Shi: Got it. Do you -- some -- I mean some of your peers were seeing China contribution to -- may have peaked in Q1 and slightly trending down throughout the year. But some of other peers see the opposite, they actually see second half being higher than first half. What's the view from Nova?
Gabriel Waisman: So we see the ratio declining in the second half as leading-edge nodes pick up the pace.
Charles Shi: Got it. Maybe another question about advanced packaging. I think you previously mentioned advanced packaging could grow 50% year-on-year from last year. And maybe the contribution back then, you thought it's going to be 15%, but your top line actually goes up a lot. And I wonder if any of these two numbers have changed?
Gabriel Waisman: So the current booking forecast indicated packaging product revenue will be at least 15% of the company's product revenue this year. As we've discussed last time as well, so this is in line with our projections last quarter.
Charles Shi: Thanks, Gabby.
Gabriel Waisman: Sure.
Operator: The next question comes from Vedvati Shrotre of Evercore ISI. Please go ahead.
Vedvati Shrotre: Hi, thanks for taking my question. One thing I wanted to -- I know you don't provide these details on a kind of an annual basis. But given the strong bookings you're seeing, could you give us a sense of how the product revenues are splitting out dimensional versus materials versus chemicals?
Gabriel Waisman: So overall, I would split it with your permission Vedvati a bit different. I would say that our revenue coming from unique solutions will be around 40% this year. So if we're looking at the new tools that the material metrology, et cetera, we'll see about 40% of revenue coming out of that space.
Vedvati Shrotre: Right. And on the packaging side, how does the packaging revenue sort of split, could -- logic versus HPM or even chemical metrology versus dimension of these?
Gabriel Waisman: Sure. So chemical metrology is about half of our packaging and advanced packaging revenue. And interestingly enough, on the PRISM side, which is a BMT stand-alone OCV product, about half of the booking is for advanced packaging and high-bandwidth memory.
Vedvati Shrotre: Okay. That's a big increase. I think last time it was 90% was kind of chemicals and now you're seeing a lot more PRISM bookings.
Gabriel Waisman: I'm not sure last time -- yes, sorry, go ahead.
Vedvati Shrotre: Sorry, yes, go ahead. You were saying.
Gabriel Waisman: Yes. I'm not sure we indicated 90% last time, but we definitely see, as you mentioned, an increase in the portion of DMD in that mix.
Vedvati Shrotre: Right. And as a follow-up, so you characterize revenue opportunity of $500 million for gate-all-around in 2026. Could you give us a sense of the puts and takes? Like is this the revenue opportunity for Nova? What share do you expect to capture here? What's the target you set anything here would be helpful?
Gabriel Waisman: Yes. So we definitely see gate-all-around as a major opportunity for us. We see 20% to 30% increase in metrology steps, including backside power delivery compared to advanced FinFET. We are engaged with all the Gate-All-Around Manufacturers, and we already have multiple orders across our portfolio for delivery later this year. And the next one, including multiple valuations for additional tools, including our new technologies. We see obviously that increasing in terms of opportunities and business in '25 and '26. So it evolves. And overall, we see it as a $500 million aggregate sales opportunity by the end of '26 from that transition to Gate-All-Around, which is coming, of course from all of our divisions.
Vedvati Shrotre: All right. Thank you.
Operator: The next question comes from Mark Miller of the Benchmark Company. Please go ahead.
Mark Miller: I just want to congratulate you on another strong quarter. In terms of the memory sales, you seem to be doing better than a number of semi-firms. I'm just wondering what percent of the memories for sales? Is it over 50% of member sales are being driven by high bandwidth memory?
Gabriel Waisman: Thank you for the kind comments, Mark. We saw overall about 30%. If we look at the Q1 and Q2 and look at H1, we see a share of about 30% coming out of memory. And in the second half, we expect it to maintain a level of about 25%, and that's, of course, because of the ratio and the fact that we see higher demand coming from logic and advanced packaging. In terms of the high-bandwidth memory, that's part of the advanced packaging, 15% product revenue ratio that I indicated before. But yes, we do see a relative stronger, I would say, demand for memory.
Mark Miller: Okay. You talked about PRISM record results for PRISM and also VeraFlex, how did ELIPSON on bill during the quarter in terms of ELIPSON sales?.
Gabriel Waisman: Sure. So in the second quarter, we saw revenue from both leading memory and foundry customers. We do have evaluations with leading foundries and we were selected by Tier 1 manufacturers already from two of those and from leading foundries as well. We have repeat buys and it also became the PDR for DRAM manufacturing by the world's leading memory customer. So overall, we do see good traction for the ELIPSON.
Mark Miller: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Gaby Waisman for any closing remarks.
Gabriel Waisman: Thank you, operator, and thank you all for joining our call today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.